Operator: Good afternoon. My name is Selena, and I will be your conference operator today. At this time, I would like to welcome everyone to the Carlisle Companies First Quarter 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, we will conduct a question-and-answer session. I would like to turn the call over to Mr. Jim Giannakouros, Carlisle's Vice President of Investor Relations. Jim, please go ahead.
Jim Giannakouros: Thank you, Selena. Good afternoon, everyone, and welcome to Carlisle's first quarter 2022 earnings conference call. We released our first quarter financial results after the market closed today, and you can find both our press release and earnings call slide presentation in the Investor Relations section of our website, carlisle.com. On the call with me today are Chris Koch, Chairman, President and Chief Executive Officer; and Kevin Zdimal, our Chief Financial Officer. Today's call will begin with Chris updating our progress towards achieving our strategic plan, Vision 2025, highlights of our record first quarter and a discussion of current trends. Kevin will discuss the financial details and updated outlook for 2022. Following Chris and Kevin's remarks, we will open up the line for questions. Before we begin, please refer to Slide 2 of our presentation, where we note that comments today will include forward-looking statements based on current expectations. Actual results could differ materially from these statements due to a number of risks and uncertainties, which are discussed in our press release and SEC filings. Carlisle provides non-GAAP financial information. You can find reconciliations between GAAP and non-GAAP measures in our press release, and in the appendix of our presentation materials, which are available on our website. With that, I will turn the call over to Chris.
Christian Koch: Thank you, Jim. Good afternoon, everyone and thank you for joining us on our first quarter 2022 earnings call. Before we begin, as we mentioned in the press release, we are saddened by the ongoing conflict in the Ukraine, and the impact it is having on so many individuals and families around the world. We hope a quick resolution will come to the situation. Turning to our quarterly results, I'm pleased to announce Carlisle Companies delivered outstanding performance in what continues to be a very challenging environment. Before reviewing the performance in more detail, I'd like to thank our teams for their extraordinary efforts that drove our record operating results. Their commitment and significant efforts to minimize disruptions for our customers, contractors and distributor partners continue to be a competitive advantage for Carlisle. And it's helping to drive our business results to record levels. All of this despite significant issues within the supply chain, ongoing labor constraints and rising prices for raw materials, labor and services. Our goal at Carlisle is to drive continuous improvement and excellence throughout the organization, and ultimately to deliver on the promise of the Carlisle experience to our customers. Our record performance in the first quarter reflected our team's remarkable dedication to Carlisle and to delivering Vision 2025. Please turn to Slide 3. Our record results continue to demonstrate the Vision 2025, which has provided the clarity and consistency of mission to guide our efforts since its launch in 2018 with the right path for Carlisle's future. In addition to our world class team and proven business model, we relied on a strong balance sheet and excellent cash flow generation to provide both financial and strategic flexibility to execute on our Vision 2025 roadmap to drive earnings in excess of $15 per share by 2025. A significant portion of our success has been driven by the multiyear process of reshaping our portfolio to a diversified building products focus, placing our emphasis on our highest performing businesses when setting Carlisle up for accelerated and sustainable future value creation. Allow me to update you on the drivers of our Vision 2025 strategy. These include drive 5% plus organic growth with operational leverage. In the first quarter, we delivered 45% organic revenue growth and adjusted EBITDA growth of over 150%; utilize the Carlisle operating system to consistently drive efficiencies, and operating leverage by targeting cost savings of 1% to 2% of sales annually. We delivered approximately 1% in the first quarter in line with our targeted range, build scale with synergistic acquisitions. We have streamlined and optimized our portfolio through acquisitions and divestitures to build scale in our highest returning building products businesses. Our recently announced segment structure including Construction Materials and Weather Proofing Technologies reinforce this objective, continue to invest in and develop exceptional talent. In 2021, we deployed the Carlisle leadership system, a holistic approach to talent management that incorporates mutually reinforcing processes and tools for the selection and development of high caliber talent. And deploy over $3 billion into capital expenditures, share repurchases and dividends. With the addition of first quarter capital investments of over $30 million into our businesses, share repurchases totaling $125 million, dividends paid of $29 million. We have now deployed over $2.6 billion since the launch of Vision 2025. Now let's return to the first quarter and look at the drivers of our record performance. Please turn to Slide 4. First, sustainable nondiscretionary reroofing demand continues to be a driver at CCM. The number of low slope groups requiring reroofing with more energy efficient solutions over the next decade underpins our confidence and sustainable above market organic growth for the CCM segment. We expect CCM should continue to benefit from strong reroofing demand, solid new construction demand, and a growing push to install energy efficient solutions. In the near-term, we expect continued mid high single-digit annual volume growth boosted by pent up demand created by COVID-19 shutdowns, supply chain disruptions and continued labor shortages in the construction sector. Second, we continue to demonstrate price leadership. Under the guide of Vision 2025, we began to focus on earning price in the marketplace by delivering on the Carlisle experience, which means reliably providing our contractors, distributors and other channel partners with energy efficient building solutions of the best quality at the right place, at the right time. We wouldn't be able to provide the Carlisle experience or industry leading products without significant investment in employees, facilities, equipment and R&D, including over $1 billion of capital invested in our businesses over the past decade. Earning price for the value we create in the marketplace is contributing to the healthy profitability improvement we generated in the first quarter. And we expect continued contribution over the balance of the year. Third, we continue to seek synergistic and accretive acquisitions. Our newest segment, Carlisle Weatherproofing Technologies was created soon after acquisition of the Henry company in September of 2021. Henry enhances CWT's total building envelope solutions value proposition. And with a balanced exposure to new construction and restoration, we've increased the size of our served markets and potential sales. Specifically, CWT's expanded portfolio is now more relevant to end users looking for increased energy efficiency, with approximately 70% of segment revenue, driven by sustainable solutions; added to a solid home center retail business. CWT has another avenue for growth. As we've upgraded our talent and processes around integrating acquired businesses into Carlisle over the last 3 years, I'm pleased to share with you that Henry's integration continues to go very well. Notably, we anticipate synergy capture beyond our initial $30 million target by 2025 and reiterate Henry's accretion estimate of $1.50 of EPS for 2022. Fourth, since launching Vision 2025, we've remained focused on being a disciplined and superior capital allocator. Our strong operating cash flow enables Carlisle to remain financially and strategically flexible in order to drive value through a balanced approach. This approach includes investing heavily in organic growth, returning capital to shareholders in the form of dividends, opportunistic share repurchases, and, as I just mentioned, continuing to seek accretive M&A. As a reminder, 2022 will be our 46th consecutive year of paying dividends and increasing dividends. And we remain on track to deploy $175 million in capital expenditures this year, with a large share dedicated to funding growth projects in our Building Products segment. Since we remain firmly committed to sustainability, and ESG, please turn to slide 5. We are proud that our business model is squarely in the middle of global ESG trends as our products enable a more efficient use of energy and buildings. More energy efficient buildings lower greenhouse gas emissions on a large scale, as evidenced by the fact that over 30% of GHG emissions annually are attributed to the operation of buildings. Approximately $2.5 billion of our sales last year were from LEED qualified products. And we estimate over 150 million megawatt hours of energy will be saved over the lifetime of those products in their buildings. As a further example, in the last 20 years Carlisle's insulation products have saved our customers nearly 290 million megawatt hours of energy or more than enough power to power every household in California for a year. With our pivot to building products and related sales expected to grow this year and beyond, Carlisle's contribution to creating a more sustainable planet will only accelerate. And to that end, we continue to make significant progress towards our goal of delivering a net zero commitment in 2022. I will now ask you to turn to Slide 6 where we highlight our performance in the first quarter of 2022. Revenue increased 59% year-over-year with organic revenue up 45%. All segments contributed to this growth. Adjusted diluted EPS increased 209% year-over-year to $4.26. As higher volumes, price and cost discipline more than offset inflation and operational disruptions, our teams faced during the quarter. For segment highlights, please turn to Slide 7. CCM delivered an outstanding quarter despite the severe challenges across its supply chain and the impact of labor and raw material constraints. CCM experienced solid top line growth due to continued strong demand, product mix, new product sales and capturing price earned by delivering on the Carlisle experience. Contractor backlogs are quite healthy when that activity remains very strong. Our contractors continue to note the material supply is their biggest challenge currently. And according to industry information source Associated Builders and Contractors, more than 75% of contractors are indicating that they have recently suffered some setback in delivering construction services with supply issues more challenging than labor. Given our investment in it, focus on sourcing materials and being held accountable to convert and ship our products with reliable delivery dates. CCM continues to be the market leader for our customers. Moving to Slide 8, sales were very strong in our newly created segment Carlisle Weatherproofing Technologies, up approximately 30% year-over-year on a pro forma basis, driven by growth across all segments despite supply shortages. We continue to drive the Carlisle experience through CWT and its organization, especially at Henry, which gives us confidence that we will as a CCM earn the value of our products and services. Despite raw material supply and tight labor market challenges order volumes remain exceptionally strong, which we expect will average nicely in 2022. As we called out in the earnings release, we are very pleased with the integration and contribution of Henry to our results, and remain excited about the future of CWT under Frank Reddy and our new leadership team. Moving to Slide 9. CIT revenue increased 18.7% year-over-year in the first quarter of '22, with balanced growth and its commercial aerospace and medical technologies platforms. Backlog continues to grow across the major parts of CIT and now stands higher than pre-pandemic levels. We are encouraged by the recertification and accelerating deliveries of the 737 max and impending resumption of 787 deliveries later in the year. As we approach the summer travel season trends are also positive for international travel. This would be a welcome change for the past few years and longer term should support a resumption and wide body production. On to CFT. On Slide 10 CFT generated revenue growth of 8.1% year-over-year. We continue to be pleased by the progress CFT has made over the last year plus including increased introduction of new products, improved operational efficiencies, price realization, and an improved customer experience. We are confident combining these actions with growing backlog will deliver strong revenue growth and incremental margins in the mid 40% range this year. And we continue to make progress towards our goal of 50% plus incremental margins commonly seen in our competitors. And with that, I'll turn it over to Kevin to discuss some additional financial details and our updated outlook for the remainder of 2022. Kevin?
Kevin Zdimal: Thank you, Chris. Chris has covered revenue growth in his comments, so I will move to the EPS bridge on Slide 12. I would highlight that our adjusted EPS growth in the quarter was driven primarily by volume, price, and mix more than offsetting the negative impact of materials and labor inflation. Additionally, the Henry acquisition contributed $0.32 of accretion in the quarter. Moving to Slide 13 and 14. Carlisle ended the first quarter of 2022 with $292 million of cash on hand, with cash generated from continuing operations, totaling $45 million. Capital expenditures of $31 million and share repurchases of $125 million during the quarter. We currently have 4.5 million shares remaining from our last share repurchase authorization of 5 million shares in 2021. Our net debt to EBITDA is 2.5x, down from 3x at the end of 20201, given our expected EBITDA growth for the balance of this year and are anticipated prepayments of our $350 senior notes in the second half of 2022. We expect to work net debt to EBITDA down to below 2x by the end of the year. On Slide 15, we have our updated 2022 financial outlook. At CCM, as Chris mentioned, we're seeing strong reroofing and new construction demand, as well as increasing interest in our energy efficient solutions. We expect total revenue growth at CCM to be approximately 30% in 2022. Notably, we don't expect CCM to experience typical seasonality as our teams are sourcing, manufacturing and selling all they can in this supply constrained environment. Additionally, we are not entering the spring with inventory levels we typically would have built in the winter months. At CWT, we expect revenue to grow approximately 55% to 60% year-over-year. including high-teens organically. Henry continues to contend with supply constraints. But as Chris mentioned earlier, is navigating that well. With integration efforts tracking above our original plan, we reiterate our accretion target of $1.50 for 2022. At CIT, we are encouraged by growing backlogs in both our aerospace and medical businesses, and thus increasing our revenue guidance to low double-digit growth in 2022. At CFT, with orders coming in as expected, we maintain our expectation for approximately 10% revenue growth in 2022. Finally, adding the pieces together for Carlisle as a whole, we expect to deliver revenue growth of over 30% in 2022.
Q - Timothy Wojs: Given the strong fundamentals across our businesses, staying ahead of inflation with proactive pricing actions and driving strong leverage through COS. We expect total Carlisle adjusted EBITDA margins to expand approximately 500 basis points in full year 2022. You can see most of the other items on Slide 15 are unchanged with CapEx the exception. We now expect to spend $175 million on capital expenditures, up from our previous estimate of $150 million as we accelerate certain projects in our Building Product segments. With that, I turn it over to Chris for closing remarks. Chris?
Christian Koch: Thanks, Kevin. In closing, we continue to deal with a complex, uncertain and evolving global marketplace complicated by the onset of the global pandemic in early 2020. Since then, we've experienced significant changes in the political environment and credible demand fluctuations that had serious implications for labor markets and raw materials. And since February of this year, an ongoing and deadly conflict in Eastern Europe. All of these things have made the workplace more challenging for our employees. And on behalf of Carlisle, I would like to thank them for their resilience, incredibly positive attitudes, and for living our culture of continuous improvement. While our businesses continue to navigate significant supply chain and inflationary challenges, solid demand fundamentals for all of our businesses remain intact. With all of our segments trending positively, and our teams executing extremely well, I am proud to disclose that with our record first quarter results, and our outlook for the remainder of 2022. That should markets remain stable and no further deterioration of the global economy occur, our expectation is that we will exceed our Vision 2025 goal of $15 of GAAP earnings per share this year. With that, we conclude our formal comments. And operator we are now ready for questions.
Operator:  The first question comes from Tim Wojs with Baird. Please proceed.
Timothy Wojs: Hey, guys. Good afternoon. Nice job.
Kevin Zdimal: Hey, Tim. Good afternoon.
Timothy Wojs: Thank you. Maybe just to start off here. When you think about just the volume growth relative to the price growth that you're seeing kind of in the CCM business and the CWT business. Is there any way to kind of, give us a flavor what you kind of saw on the volume side in the quarters and then kind of what's built into the respective guidance ranges for the year?
Kevin Zdimal: Yes, Tim. So, on the price volume, as we talked about in the last quarter that we're really not going to break that out now for competitive reasons. But we're trying to be more clear in different areas with CCM and CWT where we've broken that out into two different segments as well as trying to give you that full outlook on both the revenue side and the margin side. That's where we added the 500 basis points of margin expansion for the full year.
Timothy Wojs: Okay. Okay. And I guess when you think about just on the TTM side, and maybe even Waterproofing, just -- can you just give us some color on like orders and bidding and kind of the backlog activity and just kind of where you're seeing things extend to because it does seem like you're actually maybe even building backlog at this point, even though you're kind of delivering these types of numbers. So just kind of a little bit of an update on kind of what you're seeing there.
Christian Koch: Yes, Tim. Chris here. So, the backlog, I think -- let's think about it a little bit of a different way, because we went through a new allocation process, which we're really looking at about five months. So, I think in terms of our orders, and what we're seeing, that's what the team is dealing with in order to allocate and make sure our distributors and contractors have good access to supply, so they give the immediate jobs done. Then we look at the broader industry, we touch on the trends in reroofing that we talked about, you and certainly us for a few years now in reroofing and now they just continue to build and then we add that new construction element in which I would say in the first quarter new construction remain healthy added to it. And then we've got the constraints on supply and that  labor. So, when we look out that, 2022, I think we've said before that we pretty much have visibility into the fact that there is as much as can be produced can be sold within 2022. And that is we've gone through the year has moved into 2023. So hopefully that gives you some color that demand backdrop and backlog are strong for a few quarters out.
Timothy Wojs: Okay. Okay, good. And then just last one I had just on Waterproofing technology itself, where do you see kind of the long-term margin opportunity within that segment? Now they're kind of breaking it out?
Christian Koch: Well, I think our goals there are going to be we have to be the same as our core CCM business. And I think, with a team that's there and some refinement of the portfolio, I think, continuing there as well as some additional investment in new technology and new products. I think we can start approaching that 20% margin range plus that we've targeted in CCM in the past.
Timothy Wojs: Okay. Okay, good. I will hop back in queue. Congratulations guys.
Operator: Thank you. The next question comes from Adam Baumgarten with Zelman. Please proceed.
Marius Morar: Hi. This is Marius actually for Adam. Thank you for taking my question. Just want to go back to the guidance for CCM. Obviously, it stayed at 30% and last quarter, it was also at 30%. The last quarter, I think also included CWT, so which doubled as of this quarter. So, I was just wondering if there was any change in the CCM guidance, just looking sort of like-for-like expectations there?
Kevin Zdimal: Yes. A lot of that is just the mix and the scale of the businesses. When you look at CWT, it's a big piece. They didn't have Henry for. We acquired that in September. So that's when that came in. So, a little bit messy the comparison from that standpoint for when we reported in the first quarter. we had only talked the businesses combined. But now when we split them out, I mean it's definitely a pickup at both businesses that are improving, especially on the margin side.
Marius Morar: So, it's safe to say that the growth for CCM last quarter was below 30% is what you were expecting?
Kevin Zdimal: Right. So, it was slightly below that, and now we are up to about 30%.
Marius Morar: Got it. And then more of a sort of like historical background and then kind of like a longer-term question. Can you give us some insight into the pricing dynamics for CWT and how that compares versus CCM sort of like how is that -- are there differences in how that industry is structured compared to CCM? And have there been changes in the last few years? And where do you see it going from here? Thank you.
Jim Giannakouros: Hey, this is Jim. I'll take that one. As far as Henry, which is a nice chunk of the CW team, and you could think about it the way we talked about it in the -- at the end of last year that Henry's pricing discipline mirrored ours. They really stepped it up in 2017, 2018, just like we did. And so, the pricing philosophy in trying to stay ahead of raw material inflation, et cetera, mirrors that of our base CCM.
Marius Morar: Thank you.
Operator: Thank you. The next question comes from Bryan Blair with Oppenheimer. Please proceed.
Bryan Blair: Hey, good afternoon, guys. Great start to the year.
Kevin Zdimal: Thanks, Bryan. Good afternoon.
Bryan Blair: Couple of quick clarification points. I first want to ask, Chris, you did say GAAP EPS in terms of 15 plus for 2022, is that correct?
Christian Koch: Correct.
Bryan Blair: That's impressive. The other clarification point, Kevin, the 500 basis points margin expansion for the year, that’s a consolidated figure, right?
Kevin Zdimal: Correct.
Bryan Blair: Okay. And can you break that out or provide us the insight into CCM and CWT margin expansion expectations?
Kevin Zdimal: The CCM is on the higher end between the two of those, and we are not going to go in and give exact margins by segment, but certainly, CCM is a bigger driver there?
Bryan Blair: Okay. That's fair. And Chris, you said that over time, CWT should close the gap to core CCM kind of profitability. As we think of the scaling of the platform over time organically, inorganically. What kind of incremental should be there? We've always thought of CCM inclusive of pretty aggressive growth investments we are seeing as having drop-through of 25%, 30% more recently more in the 30% range. Is that the right way to think about CWT going forward? Or are there other levers that can be pulled to bring that a bit higher?
Kevin Zdimal: Yes. We think it's in that 30% plus maybe a little bit to that, but very similar from the CCM side.
Christian Koch: Yes, Brian, and when we get into that, I think we've got a -- just to add some color to it. I think there's a significant opportunity for new products around this energy efficiency play with Henry. They had already started. And obviously, in their core or path down that way before we bought them. But there are significant opportunities for new product development that hopefully will create higher value in the marketplace and that translates hopefully into higher margins as well as we really have not gone -- we haven't completed even what I would say, the first 20% of the COS implementation in Henry because we just bought them and they're still working through that. So, there's some nice operational efficiencies to be gained there. And I think some other opportunities with the application of CapEx and automation and things like that. So, we really are excited about the pathway forward for both the sales growth and then op margin expansion there.
Bryan Blair: Okay. All great to hear. Congrats again.
Christian Koch: All right. Thank you.
Operator: Thank you. The next question comes from Garik Shmois with Loop Capital. Please proceed.
Garik Shmois: Hi. Thanks. Congrats on the great results. First of all, I wanted to ask if you could provide some more color on the cost basket, particularly for CCM, what you saw in the quarter and what the outlook is on the cost side?
Christian Koch: Yes, Garik, good question. And last year, we were so pleased that we had substantial increases in raws, and it got offset. But if you just look at that cost basket from a raw materials perspective, it definitely increased substantially. Those trends have continued. When we talked, I think in our last call, we had hoped that we would start to see some relief as we got through into the third quarter on that front. And unfortunately, I think supply chain pressures and raw material prices are going to continue into the third and fourth quarter for this year. So, I don't think we're going to see relief on that side. And then labor, you see it in the papers every day that wages continue to increase. People are aware of inflation. And so, there's wage pressure out there, too. So, I think that cost basket continues the trends that we saw kind of post-COVID there in 2021.
Garik Shmois: Okay, thanks. Follow-up question is related to CCM EBITDA margins. Just given really impressive results in the quarter, but also given how you're not expecting seasonality to be quite how it normally is during the year. To the extent that you could speak to the sustainability of this new EBITDA margin level for CCM. That would be helpful.
Christian Koch: Yes. I think this is what, in a lot of ways, we have talked about over the past few years around the Carlisle experience and value creation, the new products that we've introduced, the efficiencies. We're putting in the 16-foot wide TPL line is coming out. We're investing in a new lead facility down in sites, Missouri for polyiso. We continue to invest in our people. I mean you know the story, R&D. And so, I think we are earning commensurate with the value we provided in the marketplace. And I think that is going to be sustainable based upon our investments in R&D. The trends we see in ESG building efficiency and really the reroofing picture that's been there to hold up demand. So, I think we are -- we are like where we are. And we think we are -- it's a reflection of all the investments and the hard work that the team has done over the last 10 years.
Kevin Zdimal: And to expand that --  I was just going to add on that there has been some inflation on the raw materials. So some of that will hit us in the second half of the year as well. But the goal is always to increase margins longer-term. So, there will be a little bit of a balance there as we go through the year.
Garik Shmois: Okay, got it. Last question, if I can sneak one more in. Just on CWT and the exposure to it for residential construction, just given the concern with rising rates. Just curious if you're seeing any impact on your order book there?
Christian Koch: Not really. I mean we continue to see strong demand for housing. I think we've seen some reports out from some of the builders that despite rates -- interest rates rising, there may be an increase in the monthly payment, but that there's still significant demand and houses are being snapped up pretty quickly. I think we know and you probably are well aware of this, that we don't have enough housing stock in the country. And so right now, we're not seeing any impact on our demand going forward.
Garik Shmois: Got it. Thanks again.
Christian Koch: Yes. You bet, Garik.
Operator: Thank you. The next question comes from Dan Oppenheim with Credit Suisse. Please proceed.
Daniel Oppenheim: Great. Thanks very much. I think most have been answered. But just in terms of CCM in terms of the cost pressure into the thoughts on margins, -- as you think about the -- working through the course of this year and some of the inflationary pressures that have come more recently are you thinking in terms of just challenges -- in terms of implementing pricing as we go through sort of second quarter and then improving over the remainder of the year? How do you think about such trajectory of margins and CCM?
Christian Koch: Yes. Maybe I'll let Kevin add on to this, too. But if I start with things like the pricing, you mentioned that first. I think we are seeing continued pressure on cost. And so obviously, the pricing actions will have to be there. And I think you might be aware that pricing action has been taken here since the first of the year and likely will continue if that persists. So, on that side, I think will be covered there. As we get to the third and fourth quarter, I said, I don't really see a lot of relief on this cost side. So, we'll see what happens. I mean, again, we haven't talked about China much or trucking and things like that, but there are capacity issues with getting labor back, but there are also things just around the transportation side that might affect us. So, we do get some raw materials that need to be transported and significant lengths and that can impact us as well. So, on price. But Kevin, do you want to add to that?
Kevin Zdimal: Yes, the only other piece of the first quarter, we did have some favorable mix. So that could have a bit of an impact on the second half of the year as well, but not overly significant.
Daniel Oppenheim: Great. Thanks very much.
Operator: Thank you. The next question comes from David McGregor with Longbow Research. Please proceed.
David McGregor: Yes, good afternoon and congratulations on these wonderful results. I want to ask about incremental profitability. And if you've addressed this, I apologize because I had to get off the call for a few minutes. But you're talking about the 500 basis points of margin for 2022, which is helpful guidance. So we appreciate that. I'm just wondering if you can talk about incremental profitability of the CCM 30% or off the 55 to 60 CWT. So, we just triangulate against that.
Christian Koch: The -- yes. So, as we talked, we're talking CWT previously on this call about a little bit more than 30% right in that 30% range and CCM would be a little bit higher than that in the current rate in this environment.
David McGregor: Okay. All right. Thank you for that. And then we talked a lot here about CCM, CWT. Maybe I could ask about CIT for a moment. And it seems as though you're getting incrementally more optimistic about how the commercial aerospace side of that business plays out through the second half of this year. And into 2023, are you seeing actual orders coming through right now? Or is this just kind of talk about the build rate and the orders will come. I'm just trying to get a sense of just how tangible the -- so your sensitive optimism might be?
Christian Koch: Yes. David, we are seeing orders. It's happening. And I think the nice thing is that when we talked earlier on, even when this started that we still felt that '24, '25 timeframe, things would come back. John and the team did a lot of work on restructuring and taking cost out of the organization. And so, as these orders are coming back, we're expecting that while there may be bumps, I mean, when the 787 gets exactly certified, I don't know. But if you have that North Star of 2025 as a return on this. We think it's kind of walking just like we thought it would. It was good to see 31 737 MAXs. It's up and flying again and production is back up. So that obviously will have an impact on demand. So yes, it is real orders and the team, I know is excited about continuing to see air travel pickup and profitability return to airlines and reinvestment in things like new aircraft, but also in things like retrofits around ARINC 791 and satellite Internet access and things like that, that we invested in before.
David McGregor: That's great. And if I could just maybe squeeze 1 more in. Again, on CIT, there had been talk that once we got past the pandemic, you'd see a return of discretionary surgical procedures that would be good for the medical business. Are you seeing order flow off that as well?
Christian Koch: Yes. In both cases, we're seeing actual orders and the team has more projects underway now. And so, I think, again, that's playing out just like most people would think, obviously, COVID put a huge -- had a huge impact on hospitals and the medical profession in a lot of different ways. And so it's nice to see that there's been some relief there and people are back to working on new products, which that's where we want to be targeted in the medical space.
David McGregor: Thanks, Chris.
Christian Koch: Yes. You bet.
Operator: Thank you. The next question comes from Kevin Hocevar with Northcoast Research. Please proceed.
Kevin Hocevar: Hey, good afternoon, everybody and nice quarter. Maybe I'll start -- I know you're not breaking out volumes and price in CCM. But I'm curious you know what your volumes did, what the market did, at least you know what a single ply. So curious if you believe you're gaining share in the space just given how strong your results were there.
Christian Koch: Yes, Kevin, there's been so much over the last -- that's going to -- you're probably not going to like this answer, but there's been so much flux in demand and supply chain issues in that. I would say that my personal feeling is that in the -- over the longer term, our market share has remained pretty constant amongst all the players. We get some ebbs and flows. A lot of that based on availability or certain areas where some might have a higher market share in a product line. But overall, I'd say if we look back 2, 3 years, the margin or margins, excuse me, the market share is relatively consistent.
Kevin Hocevar: And you mentioned an inability to -- just given how strong demand is an inability to build the normal level of inventories that normally would in the first quarter as you head into the spring. So, it sounds like you were selling everything you could make in the quarter. So, you got $881 million of sales in Construction Materials. Is that kind of what you can do quarterly? Is there no seasonality? Or would there still be some level of sequential pickup at least in pricing because I know you have another price increase out and maybe that's the only thing, but -- or does volume pick up sequentially too. I guess I'm just trying to understand seasonality -- the normal seasonality is out the window, but is there any seasonality where we see some level of uplift from first quarter levels in that business?
Kevin Zdimal: Well, again, I think you saw it as we went through the quarter. I mean, I think as -- if we can get -- it really depends on raw materials to me. If we can get raw materials, we obviously have the capacity to make more product. And then if the contractors can get more product and provided they can get more labor than they can get these jobs that are backlog completed. So, there is some opportunity to still grow. We are all just constrained by this -- the labor and I would say, raw material situation that we've had. So definitely more to come if the things line up and there could be then increased sales in the season. But as it stands now, I mean, you've got a forecast, and I'd say we're being conservative on our outlook towards raw materials getting a lot better in the second quarter. And again, like I said, it's probably more of a Q3, Q4 thing, and obviously, we'll keep you updated.
Kevin Hocevar: Yes. And maybe lastly, I mean I know that on commercial, there's not as much inventory that is held in the channel from distributors on compared to, say, residential roofing. But curious if you believe that kind of what you're selling is getting put on roofs quickly? Or is there any inventory out there in the channel? -- curious to take there.
Christian Koch: Yes. I think there's inventory. I think if you went out, I think part of the inventory is may have an order and they're waiting on a component or something like that. So, they may have a little bit built up or they're anticipating some work that needs to be done and they've been able to get access to certain products that they want inventory. So, I think there is, in certain cases, inventory built up -- being built up. But what I would say is that inventory is allocated. I mean it's got a job in home to go to. And again, that's why I say if we can get some more access to raws and that we can get the flow moving there.
Kevin Hocevar: Yes. Okay. Thank you very much.
Christian Koch: You bet.
Operator: Thank you. The next question comes from John Joyner with BMO. Please proceed.
John Joyner: Hey, how is going. Thank you for taking my questions.
Christian Koch: Hi, John.
John Joyner: I think you might have broken my model. And Chris, just following up on your comment of exceeding $15 of EPS this year. I will give you the award for understatement of the day on that one.
Christian Koch: Thank you.
John Joyner: But anyway, my first question, I guess, is versus your internal assumptions, I mean, what surprised you the most in the quarter? I mean, was it just being able to get more product shipped, but because obviously, the top line exceeded expectations in the CCM business and such and then the margins widely exceeded expectations. But what surprised you?
Kevin Zdimal: Yes, it's Kevin. There wasn't one thing. I think it's across the board. It's just everything was very favorable from getting more raw material than we expected, led to the higher production, and then we were very efficient on that production through the Carlisle operating system. So, efficiencies were very positive. The raw material inflation led to the pricing, and that definitely helped the pricing realization that we're able to get throughout the quarter. And then as I mentioned, with some of that positive mix as well. So, when you put all those things together, that led to the superior beat as well as the full year increase in outlook.
John Joyner: Okay. Thank you. And then I guess just kind of following up on that, when -- and I know we talked about this before, but when you look at the commercial roofing market overall, right? And just how the industry continues to stay rational. I mean, if I look at oil futures at $105, historically, Carlisle would be much more affected by that. And I guess that industry is rational. You're getting pricing, but so with demand, things are robust, it's understandable. But on the other side of this, how do you see this holding up? I mean I can probably answer it for you because I think I know what you would say, but -- how do you see it holding up? Do you see the industry just continuing to stay rational? And just any kind of comments overall on like kind of structural changes, say, over the past 5 years?
Christian Koch: Yes. I think probably unintentional, but when we look back over a 10-year time frame and when we look at where capacity was added, the -- I would say, CAGR, if we look for even 2014 to 2021, I mean, I think when we look at the industry, probably really targeting that mid to high single digits, 6%, 7%, 8%. And when you look at our capacity, we've added from that time on, it takes a long time to put one of these plants in and get approval and do all of that. And I think people have done a good job of adding just the right amount of capacity to grow with the business. I mean we used to think that 1 building or factory would contribute about 5%. Obviously, as the industry has grown, that's probably getting to be less, maybe 3.5%, something like that. But I think it has been rational. I think it's because there's very good information and data on roofing and building starts and things like that. I think people have some pretty good intelligence around seeing what the industry capacity can be, what demand is going to be. And as we've said, we can track that reroofing pretty closely, and Jim has put out a model on that. So rational is one thing, and I think it's more rational around what the future holds. Now a couple of things that are happening now are new products around ESG that they're going to change things and may increase the CAGR from at least a dollar value as these things become less of a commodity product that are put on and now begin to contribute to systems around energy efficiency and more value is created that will probably encourage more R&D investment. And so, I think the trends continue. I'd like the reroofing trajectory that's out there and the fact that we've got visibility to 10 years or so of strong demand. I mean new construction as long as it stays positive, I think, is a real contributor I think there's opportunities around ESG, as I talked about. And then we've got a lot of opportunities on the margin side around COS, but also on factory automation, Internet of Things connectivity in the plants and things like that. So, we keep doing what we said we were going to do in Vision 2025, keep being good capital allocators, invest in R&D, invest in talent. And I think we've just got a really good marketplace that continues to evolve in a positive direction. So sorry for that long answer, John, but …
John Joyner: No, that's great. That's -- I appreciate it. So yes, that's all. I did take Joe, by the way, and he said, I will put it in Joel's terms. I thought it was a misprint. All right. Thanks a lot. I appreciate it.
Christian Koch: All right. Thank you.
Operator: Thank you. The next question comes from Daniel Wang with Berenberg. Please proceed.
Daniel Wang: Hey, thanks for taking my question. Most of my questions have been answered, so I only got one for you guys. But is there an update on what the free cash flow conversion might look like this year? I think you guys had about 100% as our expectation last quarter, but I mean I missed in the prepared remarks.
Christian Koch: Yes, that remains our expectation be, right around 100% for cash conversion.
Daniel Wang: All right. Perfect. Thank you.
Christian Koch: You bet.
Operator: Thank you. That concludes the Q&A session. I would like to pass the conference back to Chairman and CEO of Carlisle Companies, Chris Koch, for closing remarks.
Christian Koch: Thanks, Selina, and thanks, everyone. This concludes our first quarter 2022 earnings call. And thanks for your participation and the questions. We look forward to speaking with you at the next earnings call. Goodbye.
Operator: That concludes the Carlisle Companies first quarter 2022 earnings conference call. Thank you for your participation. You may now disconnect your lines.